Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Thank you for standing by. This is the conference operator. Welcome to the Altus Group Third Quarter Twenty Twenty One Financial Results Conference Call. As a reminder, all participants are in listen-only mode. And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] 00:35 I would now like to turn the conference over to Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: 00:42 Thank you, Caitlin, and good afternoon, everyone. And welcome to Altus Group's third quarter results conference call and webcast for the period ended September thirtieth, twenty twenty one. The news release announcing our results was issued after market close this afternoon and is also posted on our website, along with our interim MD&A and financial statements and press release announcing the signing of the definitive agreement to acquire [Indiscernible]. 01:07 Joining us today is our CEO, Mike Gordon; and CFO, Angelo Bartolini. We'll start with some prepared remarks, and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by e-mail. Angelo will begin by covering off our financial performance during the quarter, and then Mike will provide an operational update and discuss today’s announcement regarding proposed acquisition beyond me. 01:31 Before we get started, please be advised that some of our remarks on this call may contain forward-looking information. Also, please be reminded that Altus uses certain non-GAAP non-IFRS measures as indicators of financial and operational performance. Forward-looking information and an explanation of these measures are detailed in today's news release and in our related reports on SEDAR. All of the forward looking information discussed today is qualified by the cautionary statements included in those report. I will actually the call over to Angelo.
Angelo Bartolini: 02:02 Thanks, Camilla, and thank you all for joining this afternoon. For solid savings execution and improving operational efficiencies from the changes we made to our go-to-market plans continue to drive strong results, enabling us to deliver better than expected financial results for the third quarter. We're very pleased with our performance. And others here today, very excited about the transformational innovation ahead of us enabled by the proposed acquisition of Reonomy. We're making solid progress against our strategic initiatives, which gives us a solid foundation for continued growth over the long-term. 02:39 Turning to our financial results in Q3, I'll discuss the growth rates on an as reported basis, and we're relevant I'll discuss the constant currency growth rates as well. We're really pleased with the robust growth in our consolidated revenues up twelve and half percent to one hundred and fifty one point eight million dollars and adjusted EBITDA up one point five percent to twenty point four million dollars. In constant currency, we were up fifteen point five percent and five percent respectively. Altus analytics delivered very strong results. Revenues were sixty five million dollars up thirty two percent or thirty eight percent in constant currency. Organic revenues were up twenty one percent in constant currency. We had double digit organic growth across all key business lines. Software, AI solutions and appraisal management, that from existing cost customer cross sell and upsell and from new customer additions to our platforms. 03:41 Our organic constant currency growth is the highest it's been in four years a solid indicator of the effectiveness of our go-to-market strategies and the strength of the demand for our products and services, Equally impressive, our overtime revenues, our key metric for recurring revenues were fifty five point one million dollars which in constant currency represented a thirty eight percent year over year increase an eighteen percent increase organically and then eight percent sequential increase. 04:15 We had solid growth across software subscription, data subscriptions and appraisal management solutions. In addition to the strong over time revenue growth, total revenue growth also benefited from higher software consulting revenues, which provides strong indication of the investments companies are making in their technology platforms. 04:38 Adjusted EBITDA shows strong improvement in the quarter of twenty two percent to eleven point seven million dollars, twenty nine percent in constant currency. Organic growth was six percent or thirteen percent in constant currency and adjusted EBITDA margins were eighty percent and seventeen point three percent for the quarter and year-to-date respectively. Similar to last quarter, earnings were impacted by a one million dollars purchase price, accounting adjustment to finance actors deferred revenues, which in turn had a one percent impact to our margins. 05:15 Our gross retention rates remain the industry meeting range across all our software and data analytics solutions, many ways are considered to be mission critical by our clients. Our customer consumer success team is the laser focus on driving positive results to both net and gross retention. Five one measure, our AE software maintenance retention rate remains resilient at ninety five percent. Bookings growth continues to trend very strongly up eighty nine percent in Q3 in constant currency of which seventy seven percent was organic. 05:53 As though here from quite shortly, we're making steady progress by against our cloud transition plans. All to say that growth engine and Altus analytics is going strong, and we're really pleased with the solid execution as all the key leading performance indicators on our very positive trajectory. Turning to the CRE consulting segment, our results were on par with the prior year. 06:19 Our property tax, revenues were up zero point five percent to fifty eight point five million dollars and areas were up one percent to twenty two point five million dollars. As discussed in our business update during quarter, COVID related disruption and appeal settlement delays in the U. S. And in the UK, constant revenue variability. 06:39 As translated anticipated third quarter revenues to be deferred into future quarters some we've seen play out before. As a result, revenues in the U. S. And the UK were on par with the prior year on a constant currency basis. With healthy growth in Canada driven by strong performance in Ontario and Alberta, Overall, we're on track to deliver a record revenue and earnings year for property tax in twenty twenty one. We growing scale a robust backlog of appeals and our ongoing digital improvements our performance is becoming more balanced across our key markets to help us mitigate the inherent quarterly variability of this business. 07:22 Our property tax bookings are up year-over-year and as we deliver on our digitization initiatives and go-to-market programs, we remain very well positioned for the long-term. As you'll hear from us, at the Investor Day, we're positioning the business for the very attractive opportunity ahead of us. Become more tech enabled and operationally efficient. 07:44 And finally of, our valuation and cost advisory businesses continue to deliver steady performance, a solid reflection of their market leadership. Revenues were up two percent to eight point three million dollars and earnings were three point nine million dollars. As Camilla mentioned, we also wanted to discuss the proposed acquisition of Reonomy on today's call, which is scheduled to close tomorrow given that today is a bank holiday. 08:11 Mike will cover off the strategic rationale, and I'll spend a couple of minutes now on their financials as we have factored the proposed acquisition into our updated financial debt guidance for the year. First, this is a very exciting strategic acquisition for us that really propel our data strategy. The synergies are significant in both the revenue and cost side of the equation. The acquisition also immediately improves our overtime revenue profile as we layer on these additional fast growing recurring revenues. On a twelve month basis to September 30th, the total revenues were eighteen point three million dollars. Their annual recurring revenues are expected to be twenty one million dollars by year end and expect to grow to the mid to high twenty million dollars range next year. 09:03 On the earnings front, adjusted EBITDA loss was sixteen point nine billion dollars also on a TTM basis. The loss largely reflects economies investment focus on user growth, revenue acceleration and on platform development. With the anticipated synergies, beginning soon after the close of the transaction and until early next year, we expect nominal impacts to our earnings for twenty twenty two and we expect Reonomy to be increased to earnings in twenty twenty three. Now with sandy, we are on these impact to the office analytics adjusted EBITDA in twenty twenty two. We still expect a year-over-year improvement in Altus analytics digital margins or full year twenty twenty two. 09:49 The purchase price of two hundred one point five million dollars represents roughly a nine point five multiple under twenty twenty-one ARR. In line with recent comparable transactions in the market and reflects today's environment for scarce high growth data and our analytics companies. 10:10 As we think about the value creation potential ahead us, over the next couple of years and how it will feel growth and enable transforming innovation, we expect the returns from this transaction will be extremely attractive and it will give us an increased position in the CRE data and analytics space. Again, very strategic transaction for us. So factoring and Reonomy debt increased our full year twenty twenty one consolidated revenue guidance. Calling for year-over-year growth in the range of ten point five percent to eleven point five percent and our adjusted EBITDA guidance which would have been on the top end of our previous range has now been adjusted to reflect the impact of we are on these losses, the table of our updated financial guidance by business segment is available in our press release for a detailed MD&A. 11:05 With robust financial flexibility, we're well positioned to acquire Reonomy for approximately two fifty million Canadian, which will be funded primarily by combination of cash on hand and addition to our credit facility of approximately one hundred million dollars with a total of approximately three thirty eight debt subsequent to the acquisition. We estimate this will bring our funded debt adjusted EBITDA leverage ratio so approximately three times, still maintaining healthy room to our maximum covenant of port times. Where custom being at this level in the near term as when you see a significant deleverage path to the low tools by the end of twenty twenty two to a combination of debt repayments and higher adjusted EBITDA. 11:54 With that, I'll now turn it over to Mike.
Mike Gordon: 11:57 Thanks, Angelo, and good afternoon everyone. Here's a lot to cover today, so I'll focus my time on quick cloud transition update. Cover off some of the operational changes at Altus analytics and then guide right into the strategic fit of Reonomy. Accelerating ARGUS Enterprise cloud adoption remains a top priority for us and we're tracking right on plan. I'm very pleased to share this we reached our two thousand AE cloud customer milestone. 12:28 This includes both newly customers as well as those have migrated from the legacy on premise version, representing a solid base of AE customers and thousands of users in our cloud ecosystem. Also worth pointing out, we continue to have strong and on purchase rates for our software products. And we've been consistent in adding new customers each quarter. In Q3, we accelerated this by adding three thirty eight new software logos putting us over eight seventy year-to-date. Clearly, we still have a lot of runway in our large addressable market. This is substantially higher than what we were adding in twenty twenty and a solid reflection of our improved go to market posture and our focus on developing our inside sales, customer success and new sales strategies. 13:22 In Q3, we saw a consistent trend of more medium sized businesses moving to cloud, finishing the quarter with twenty nine percent of our total ARGUS Enterprise user base contracted on ARGUS cloud platform. That's approximately triple the customer base at the same time last year. This trend is consistent with our expectations that will finish the year between thirty five percent to forty percent penetration, and we expect a good inflection point next year especially as more of our larger customers have indicated interest and plan to move in the coming quarters. 13:55 Earlier this week, we released ARGUS Enterprise Version fourteen and the collaboration service feature on ARGUS cloud. In this release, multiple requests from large and multinational CRE organizations have now been satisfied. These improvements are universally applicable to our target market for large multiproduct deals that will use ARGUS enterprise as the basis for their business planning functions. 14:22 For users who upgrade version 14 on ARGUS Cloud, they'll have access to our collaboration service functionality. This feature allows administrators to add guest users into their cloud environments with control over how they will access in collaborate on August enterprise files. Effectively, this allows customers to spend last time managing the final transfer and involved in the complex processes such as budgeting or evaluations and gain more trust from the data that they're working on. Collectively, we believe these updates will help drive Argus cloud adoption and retention and continue to expand the global ARGUS Enterprise market. Coinciding with the release of ARGUS enterprise fourteen. We also announced to our customers that it marks the final version that the software will be available on premise. 15:12 Beginning with version fourteen dot one, all updates will only be available on ARGUS cloud, We also announced that the end of support for AE 12.1 or older by June thirty, twenty twenty two. Requiring customers upgrades in version thirteen or fourteen to remain our supported versions of this offering. Given the importance of the model capability between versions and being on a supported software.
Operator: 15:49 Pardon me, this the operator? The speakers have disconnected. Please stand by while we reconnect. This the operator, please standby. Hi, this is the operator. Please reconnect speakers Pardon, this is the operator. Please stand by will we reconnect the speakers. Pardon, this is the operator. Please stand by while we reconnect your speakers. Pardon me, this is the operator, please stand by while we try reconnect the speakers. I have the speakers back on the line.
Mike Gordon: 18:57 Well, I can definitely say that was user and my part. Clearly, on the temporary IPO, we doesn't know how to get the right button. When we move on? Going forward as I talked before that we're under a simple focus and execution oriented operating model that will unify our go-to-market service delivery customer success teams. 19:19 We believe as we move forward, this ubiquitous model that integrates our valuation investment and asset management capabilities into a single cloud based platform that integrates numerous key workflows, and enhances data driven insights for the CRE industry. Finance assets [Indiscernible] analytics, and now Reonomy will integrate into this new model. 19:43 While we are looking forward to sharing more information on that at our upcoming Investor Day on December nine. This new model will continue to enhance our good market model and will allow us to continue to grow bookings at revenue more effectively. Building on the improvements this year. Overall, we'll be better positioned to bring more value to clients by helping them solve their biggest problems in holistic way. Shifting from a product to a solution orientation that will address more of the customer value chain. Above all, we will scale more effectively and efficiently going forward, bringing consistency, avoid duplication of effort and offer a far more attractive employee value proposition. And having done similar transitions with Jim and before throughout careers. I'm very optimistic about the value we can a lot for our clients in our business. 20:39 And I have full confidence in Jim's execution. We've done successfully before, and the model is best suited for where we're taking our Altus analytics business particularly as we build upon our data and analytics solutions. This now brings us to Reonomy. As we've been discussing on our past earnings call, we've been accelerating our efforts on driving product innovation with predictive analytics and data organically, through our data strategy initiatives and through the acquisition of StratoDem Analytics Platform earlier this year. The timing is indeed critical. The CRE tech market is maturing and consolidating point solution providers at a much faster pace than in the past, not similar to what I saw unfold in the financial services industry a couple decades ago. 21:32 Scaled, category owning leaders, are emerging and the market is forming. This is compile us to move fast to protect our strong business modes and say ahead of the demand curve. When the opportunity with Reonomy emerged, we wanted to move quickly as high asset like theirs are rare in our space as the strategic fit was spot on. 21:54 We are also pleased to have been able to come to terms outside of the sales process. The strategic fit between our companies was obvious to both parties, enabling transformative innovation that can only be achieved together. As you heard from Angelo today, the transaction is financially compelling. Reonomy will enhance our growth product profile. Particularly in annual recurring revenue growth, and there are robust synergies ahead. There's a solid plan to improve, their profitability to become accretive to our adjusted EBITDA cash flow by twenty twenty three. For this acquisition, is also highly strategic for us. 22:34 The combination of Reonomy AI power data platform with offices suite of software, data, and analytics capabilities, creates a very compelling client offering that will enable our clients to better manage performance and risk within their CRE portfolios with data driven insights and eventually predictive analytics and alert capabilities. It significantly accelerates our transformational innovation in Ai predictive data analytics by better positioning us technologically with data science and analytics expertise and with the robust dataset to add analytics into workflows that not only look at and what happens and why. But look forward to machine learning informing us on what happened next. So let me take a couple of seconds to take you through the revision. 23:25 Real estate investment activities are becoming more complex as equity investors chase alpha, while managing there. Manage risks take advantage of the growing demand for real estate as an alternative investment and given the global fight per talent are looking to do all of this at scale with more automation and intelligence. Altus currently serves the top global investors with our integrated valuation management, ARGUS software and performance management solutions. We have been executing on a strategies transition from descriptive and diagnostic solutions it's predictive and eventually prescriptive offerings. 24:04 Following extensive client validation, third party research and industry analysis, we have identified that data automation asset scoring predictive analytics and disease optimization is being opportunities to expand our value to our customers. The acquisitions of StratoDem Analytics was the first step in this process, fast tracking, the go-to-market timeline for predictive analytics by at least two years. The addition of Reonomy will be foundational to and accelerate certain innovation and data strategy to solve key CRE challenges, with real time data driven insights, connected analytics and alert capabilities. 24:43 The team over there provides us with the following AI powered and highly automated data management or organization technology, extensive CRE data coverage across the entire U S. CRE market and scalable web platform to deliver insights and key talent and resources with a very strong cultural fit with ARGUS. [Indiscernible] from the entire Reonomy team has done an exceptional job leveraging AI machine learning to solve key data management challenges in the CRE industry and unveil hidden data relationships, integrating Reonomy’s data and technical capabilities with our recently acquired StratoDem Analytics platform. For predictive analytics will enable us to deliver at scale and when integrated together with our foundational ARGUS software solutions will be transformational for the CRE industry. Our clients will be able to gain deep insights on their CRE assets in a way we believe has never been done before. 25:48 Our combined use cases will be highly differentiated in encompassing data management, opportunity and acquisition analytics, property scoring, CRE market data and date adjust in technology. In addition to the strong strategic fit, Reonomy needs all the criteria that we seeking in our acquisition targets for Altus Analytics. A strong market presence in strategic adjacent ten market geography, modern technology and cloud solutions, it addresses the critical workflow for our product roadmap. Our strong installed base with mutual cross selling potential, potential for very high financial returns and of course, a strong talent in cultural fit. We're in hearing a very well run business with the talented team their aligns with our all Altus Group employees. 26:39 But fundamentally, the potential future returns are especially attractive as there is a solid plan for how we make a one plus one equal III by coming together. We're extremely excited about our coming together and look forward to sharing more information on our product roadmap at our Investor Day on December ninth. 26:59 In closing, we'll finish off the year in a very strong position heading into twenty twenty two. Our growth engine at Altus Analytics is going strong. With all of the key leading performance indicators on a very positive trajectory. Our cloud transition is on plan and set up for a good inflection point this year and next year. We're adding value two clients through our product innovation and has evidenced by our strong bookings growth, our new go-to-market plans are affected, driving strong execution and this is a great precursor to our new operating model for twenty twenty two. 27:36 On the Cre consulting side, property taxes is now transitioned on their global model, and making good progress against our digitization agenda, many of the changes we have been making this year at Altus Analytics will be the focus for tax next year. In addition, we're seeing phenomenal progress in our cost business units as their focus on sales has increased immensely. We'll be entering the new year with substantially improved It infrastructure and we delivered on our goal of moving our strategic market adjacencies in debt and data analytics. 28:11 All this puts us in a very strong position to head into twenty twenty two to continue growing our business and creating additional value for our shareholders. To my colleagues, congratulations for another solid quarter. It has been a bit year and I appreciate all your hard work and dedication to our mission. I also want to welcome the Reonomy team to office as well as their customers and partners. We're glad to have you join us at a very exciting chapter in our growth journey as we continue to drive transformational innovation in the market. To our shareholders and analysts, we appreciate your ongoing support as we continue to transition Altus, and we look forward to walking [Indiscernible] at our Investor Day on December ninth, both in Person in New York and virtually. Please don't forget to register events on our website. 29:04 Okay? Now, let's open the line for questions. Operator?
Operator: 29:07 Operator? [Operator Instructions] Our first question comes from Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: 29:39 Hi, Good evening everyone and congratulations on the interesting acquisition. Just on the Reonomy, it seems like it's a fairly transactional driven tool in terms of the solutions that it provides, and AE is valuation portfolio management and benchmarking in there as well. So, just maybe a bit more detail on how your existing users it might be interested in the offering from Reonomy or is it all about stepping out into adjacent markets just what's the maybe a little more detail on how it all ties in?
Mike Gordon: 30:28 Sure. I think that it's obviously an adjacency for us. So that's an easy thing for us to go to, but I think that as we look at the solution set that they had, we were very drawn to their knowledge graph analytics as well as their ability to put a unique identifier on key assets in the CRE space. And when we looked at that and the ability to bring that into our data that sitting on the ARGUS platform, we've got that those two pieces along with what we were building on StratoDem around investment management analytics as well as valuation analytics. We felt that those things would add into how people would run their models using ARGUS. So, in the short term, we're going to be leveraging that platform in coordination with ARGUS, but in the long-term, you're going to see this pulling together on the cloud platform where people will be able to leverage the analytics running and the machine learning running right with their ARGUS valuation models, while they're sitting in ARGUS collaborating with their other users and at the same time, being able to pull data and other asset insights in, and that's how we're looking to improve it. So it's Yes, we're stepping out into an adjacency, but very much, we are trying to build upon our valuation and risk management and help our customers big, better decisions around their assets.
Yuri Lynk: 32:10 Okay. Thanks, Mike. Just a clarification question. Angela referenced analytics Altus Analytics, Mark you still expect margin increases next year on the EBITDA line, Is that correct?
Mike Gordon: 32:26 Yes, yes. That's correct, Yuri. I'm just keeping simple.
Yuri Lynk: 32:30 Good. Just wanna make sure I heard that right. Okay, guys Congrats I'll get back to the queue.
Operator: 32:37 Thanks, Yuri. Our next question comes from Daniel Chan of TD Securities. Please go ahead.
Daniel Chan: 32:45 Hi, Good evening. Sounds like a pretty interesting asset there. I think was probably maybe just three years ago that we were talking about the market readiness of CRE to just move to the cloud as we continue to do that, what gives you comfort that the market is now ready to take on something like AI and they'll that workflows?
Mike Gordon: 33:05 I think that a lot of things have changed. I mean, obviously, I've only been here a year. So I can't talk about three years ago, but what I would say is I think the market really absorbed some punches from COVID. I think that way they started looking at new ways to look at the industry and actually start evaluating things. Tools that have been used in financial services for years and access to data and alerts and like they talks about the knowledge graph, or a unique identifier have been done in other places in the past. 33:41 And as we've been looking through and mapping the data that we have from our customers and how we could bring more value them. This is something that we've heard as we've been putting together our product roadmaps that customers want to go there. They need to get more out of what will historically point solutions in twenty eighteen and they really want these enterprise solutions. And I think that if you look at what we're doing with this because we are really building and enterprise risk management and evaluation solution to really help our CRE customers manage their decisions more effectively and make it very quick and educated way. And I think as we do that that unlocks a huge amount of value for them and they are trying to manage their portfolios whether they're doing it from an investment management perspective, whether they're doing it from an asset management perspective or whether they're servicing their customers. And so, I think there was some probably some skepticism of a number of years ago, but I think that skepticism has broken and people are looking at these things, and they know that you move these things early quickly and we're seeing very good demand.
Daniel Chan: 34:57 That sounds good. It makes a lot of sense. It sounds like there's a lot of good cross opportunities here as well. How will you be charging for Reonomy, Is it kind of like an annual subscription per user as that add on to your ARGUS Enterprise? And if so, what is the customer over overlap gap with your ARGUS users?
Mike Gordon: 35:16 So, Reonomy has historically been and what I would call here, maybe the tier 2, tier 3, and tier 4 stage and they have phenomenal coverage across all assets in the U. S. And they have some Tier 1 suppliers are some Tier 1 customers. We're expecting to fit this right into ARGUS into all our Tier 1 and Tier 2 customers and offering this as head to Argus, but also adding is and head on with StratoDem. I think that's as we price this, you're going to see, we're going to leverage the pricing models that there's historically been user based pricing, but you'll see transactional based pricing and or asset based pricing. So, we'll be finalizing those models as we move the platforms together, but our goal is to make it easy to pull up in the ARGUS platform, the data and analytics into one platform they don't have to leave and look at multiple platforms to do valuations in risk management.
Daniel Chan: 36:15 Okay. That make sense? So then maybe one question on Cloud, you mentioned that you're going to end support for anything below AE 13, can you give us an update on how much of their AE user basis on those versions?
Mike Gordon: 36:31 That's a good question. I think there's I think there's probably a couple of thousand users down there. I'm guessing right now but we've had one of the things that we've done is we talk to our biggest users who are using twelve one below and confirmed with them and told them before we announced it that this was going to happen. So the preponderance of those users are our prepared to make a move. Now we would like them to move to the cloud, but we will support them if they want to move to non-premise version as well.
Daniel Chan: 37:04 Got it. Thank you.
Operator: 37:08 Our next question comes from our next question comes from Stephen MacLeod of BMO Capital Markets. Please go ahead.
Stephen MacLeod: 37:20 Thank you, good evening.
Mike Gordon: 37:21 Good evening to you.
Stephen MacLeod: 37:24 Hey Mike, thank you. I just wanted to follow-up be just about on Reonomy. Can you give a little bit of color on sort of what the recent growth rate has been in terms of revenue growth?
Mike Gordon: 37:37 Yes. On AR, plan with what they are doing what we believe, they're finished twenty twenty one with compared twenty twenty. It's over twenty five percent and we think that we will be able to enhance that with cross sell next year as we bring that into our customer set. 37:54 If you look at their long-term growth, they've been in the twenty five percent to thirty percent range if you look at a CAGR, they have some step back in as COVID came in, but the team, the management team did a very good job at directing the shift through the covid timeframe, We're very impressed with what they're building.
Stephen MacLeod: 38:15 Great. And the twenty-one percent that you said there, Is that from today to the end of twenty twenty one? Is that what you meant?, I'm sorry the end of twenty twenty two?
Mike Gordon: 38:26 While we're now, we're looking this, I just want compare, if I compare where they will be and we've gone through this was them at end of twenty twenty one to compare to what finished at twenty twenty two, I'm sorry, what they finished in twenty twenty, their ARR growth will be over twenty five percent. From the end of Q2, what we're expecting is we expect that growth rates to increase maybe into the mid thirtees.
Stephen MacLeod: 38:51 I see. I see. Okay, okay that's great. And just looking on the Reonomy, let's say, it looks like they do to some commercial, mostly commercial, but also it looks like some residential, I've seen that wrong, is there a portion of the business that is focused on the residential market or is it all commercial?
Mike Gordon: 39:11 It's all commercial. There might be a couple things that trail into to like what I would call multifamily. But it's all commercial.
Stephen MacLeod: 39:23 Okay. That's great. And then I guess when you think about where the ARR is today versus what you want it to be, and you talked about sort of the accretion in twenty twenty three. Are most of those, it's most of that growth coming from cross selling and just deleveraging the platform, or there other other things you could do to call other leverage to drive that growth?
Mike Gordon: 39:47 No, I think there's a couple different ways that we looked at the revenue and how we looked at what they're doing. So first off, have a very good sales team and they've been doing a great job improving upon the retention from their customer success to their go-to-market teams. What we've just looked at is we just took what we thought that their growth rate would be going into next year. And we're shifting a little bit of, we're going to ask to shift a little bit their focus to some of the tier 1 and tier 2 customers along with our teams and then we think that is going to be the difference between what you're achieving today to what we think we're going into next year. So our belief is that we're going to be talking to our larger customers and walking them through the value of the analytics and the data that they have along with the cross sell that we believe that we'll bring with the StratoDem analytics that we already have as well and pulling them together with the data that we have on Argus. So, my view is we potentially put out there about a thirty five percent to thirty six percent growth curve for us for next year and the year thereafter. At the same point, we think that we'll see a good amount of the growth also coming in our StratoDem models. So that is separated still. And as we pull things together in twenty twenty three as we bring our ADS business, in Canada together with together with Reonomy, together with StratoDem, I think we'll be producing something that will be closer to one hundred million dollars in revenue, and we believe that we'll get into the twenty percent to twenty five percent range in EBITDA. So the three of those businesses combined. So our goal is to bring those businesses together into a data, a data unit.
Stephen MacLeod: 41:37 Okay. That's that. That's great color. Thank you, Mike.
Operator: 41:45 Our next question comes from Richard Tse of National Bank Financial. Please go ahead.
Richard Tse: 41:53 Yes, thank you. Mike wondering how long do you think it take to integrate Reonomy with StratoDem and I guess in related question, do you have to have those assets in integrated before you go-to-market?
Mike Gordon: 42:07 No. So to your second question, we don't need those assets. We've got our sales plans and we've been working with their team to put that together immediately. We'll start to hit the market. As soon as we finalize the solution – sales solutions tomorrow actually, a number of our executives will be meeting with their executives in New York tomorrow. I'm talking to you guys, so I'll be appear, I will be down here on Monday and Tuesday. So I think we don't need that to be integrate. Now and see some of the other use cases that we want to get to and some of the further growth items, that's where we want to get the integration to, especially when you get into the analytics side and especially the alerting side that we've been talking about, Richard, finding the changes on the data and how that would relate when it comes to valuation and risk management. That would be something that we want to learn that we want as alerts to be working on and we would want that to integrate directly into ARGUS so that a target would be telling people something has changing.
Richard Tse: 43:11 Okay. And then to sort of Yuri’s question at the beginning here. Could you maybe sort of share with us any example of the most sort of common use case, Reonomy would offer your existing customer base?
Mike Gordon: 43:27 Yeah, sure. I think that the use states that we want to get out there really quickly in a non-integrated way is for them to be able to open up the data profile in ACW where they look at Reonomy data and we would go right into their web interface, and they could actually take a look at how that data is changing and make decisions on their evaluation. Next year, where we like to get to is we like to type that data directly and integrate that right into artists. So you're pulling that right in. You're looking at your valuation and you're making a change right then and there. And then what we would like do then you could use the strength of StratoDem and be able to do optimization and portfolio management and run simulations on what you're seeing happening there.
Richard Tse: 44:23 Okay.
Mike Gordon: 44:24 So I guess they put it sample key, you would kind of evolve as we integrate businesses together.
Richard Tse: 44:29 Okay. And just one last one for me. You're clearly making a pretty concerted effort to get further into the tech. So when you look at the property tax business today, is that still or strategic or is it sort of now bit dilutive given what you're trying to do here?
Mike Gordon: 44:47 The question it is absolutely strategic. I should probably, I mean today was the day that we talked more on Altus Analytics for sure, but what we look at with the data and analytics that we have in sitting down and talking without StratoDem, we are absolutely bringing this technology into tax and I think that as we sit back and talk about what we're going to be doing in tax next year, we're going to be really focusing on building those task platforms out so that we can share data back and forth with assets from ARGUS to our cash platforms and be able to push that forward with Reonomy and StratoDem so, tax is incredibly important and will be transformative for us.
Richard Tse: 45:37 Okay. Great. Thank you.
Operator: 45:36 Our next question comes from Paul Treiber of RBC Capital Markets. Please go ahead.
Paul Treiber: 45:44 Thanks very much. Congratulate. You mentioned several times you see the combination of ARGUS Reonomy as transformational for the industry when you look get the landscape you've better landscape, other players startups even larger players, and how unique you feel that the assets in the technology that you now have put together are in the space?
Mike Gordon: 46:11 I think fundamentally, we will be the definitive leaders when it comes to valuation and risk management in commercial real estate. I think that when you take a look at our technology platforms and the breadth of our functionality that we have in ARGUS broader than everything, we've had in Embedded with our large Tier 1 advisors and bringing together and analytics platform which we were been already starting to talk to our customers with along with and adviser – our advisory solutions, and now you bring together like a knowledge graph that can kind of take a look at things for you and bring and do the matching algorithms. I think that's incredibly transformation. I feel like our technology is going to be leading in industry. I think that as we sit back and talk to you all in the next month or so about our room map, you'll see what we're trying to do with our platforms going forward and then I think the platforms from a perspective of the what will be leading with analytics, will be following had up with data, but you have also following that up with the workflow and the decision that's there. And I think those are – those four things we have and we're building up pretty well. So we feel really good And again, when I talk about our space, it is valuation and risk management for the decisioning in commercial real estate. So to us, we think, we've got something that will be very hard to be with.
Paul Treiber: 47:40 And you've made a number of acquisitions this year fairly large ones and when you look at the roadmap, do you feel like there's anything missing from a product roadmap point of view in the sort of the medium term? Do you think it’s crucial or maybe another way, bring it is, like what is the willingness to continue to make acquisitions ignoring the financial from a capacity point of view?
Mike Gordon: 48:15 Paul, it's a very fair question. I'll put it this way. I sit back and we talk with our product teams, I talk with [Indiscernible] all the time just sit back and like where we're putting things together. As we look at things, we're looking across the value chain. And the value chain for us when we moved into finance assets there was debt, but that also helps us on some of the construction side of things. And I think that as we look across the value chain from a build aspect to an asset acquisition to the asset management and investment management to the disposal. I think that in any case in where we have a gap in that area. You'll see us looking either to acquire a point solution to fill that in build something or partner with a third party.
Paul Treiber: 49:11 That’s helpful. Last question for me just following up from Richard's question just on integration, but how should we think about the level of product integration. Are you thinking of just fairly light integration through APIs, or should we think of that you see a need for a deep rewrite of the different code basis, Like is that necessity in the near term or not?
Mike Gordon: 49:42 I don't think it's either end of the spectrum. When I look at it I think about it, with our teams, I think about it in the layers, we look at the different layers. And I would tell you that I think the integration layer that Reonomy as will be economy integration layer that we leverage with Harvest. And so, I think you're going to see us our teams have already been working together with their team on what should be what should be brought forward, what should be separated, how we should be looking these things together? All of these are cloud based solutions. We have some things on the ARGUS platform that we want to bring it into a service kind of technology very similar to like where we Reonomy and StratoDem are, and this is something that you'll see those things. Moving the ARGUS Enterprise solution along faster.
Paul Treiber: 50:34 Okay. Thank you. I will back in the line.
Operator: 50:34 [Operator Instructions] This concludes the question-and-answer session. I would like to turn the conference back over to Mike Gordon for any closing remarks.
Mike Gordon: 50:55 Well, thank you for all your attention and for your interest in Altus Group. And we do look forward to closing all of you that month at our Investor Day at December ninth. If anyone has any additional questions, please contact Camilla directly she knows how to work with Argus. I want again things take by team and the entire Altus and Reonomy team for a job well done looking forward to finishing off a great year. Thanks for your time and have a great evening.
Operator: 51:23 This concludes today's conference call. Should you have any further questions, please contact Camilla Bartosiewicz at Altus Group. You may disconnect your lines. Thank you for participating and have a pleasant day.